Operator: Good day ladies and gentleman and welcome to the ATA Inc. Fiscal Year 2016 Second Quarter Financial Results Conference Call. My name is Victoria and I'll be your coordinator for today. At this time all participants are in listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions]. As a reminder this conference is being recorded. I would now like to turn the presentation over to your Ms. Carolyne Sohn of The Equity Group. Please proceed.
Carolyne Sohn: Thanks Victoria and good morning, everyone. Thanks for joining us. Copies of the press release announcing ATA’s fiscal 2016 second quarter results are available at the IR section of the company’s website at www.atai.net.cn. As part of this conference call, the company has an accompanying slide presentation available on its website. You're also welcome to contact our office at 212-836-9600 and we would be happy to send you a copy. In addition, a replay of this broadcast will be made available at ATA’s website for the next 90 days. Before we get started, I would like to remind everyone that this conference call and any accompanying information discussed herein contains certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Although the company believes that the expectations reflected in its forward-looking statements are reasonable as of today, those statements are subject to risks and uncertainties that could cause the actual results to differ dramatically from those projected. There can be no assurance that those expectations will prove to be correct. Information about the risks associated with investing in ATA is included in its filings with the Securities and Exchange Commission, which we encourage you to review before making an investment decision. The company does not assume any obligation to update any forward looking statements as a result of new information, future events, changes in market conditions or otherwise, except as required by law. Regarding the disclaimer language, I would also like to refer you to Slide 2 of the conference call presentation for further information. All US dollar amounts in this conference call relating to financial results for the company’s most recent quarter ended September, 30, 2015 are converted from RMB using an exchange rate of RMB6.3556 to $1.00 the noon buying rate as of September 30, 2015. All historical conversions are accurate as of the time reported unless otherwise noted. The company reports its financial results under US GAAP in RMB and all percentages calculated in the presentation are based on RMB, unless otherwise noted. For those of you following along with the accompanying PowerPoint presentation, there is an overview of the company on Slide 3. The company’s Interim CFO, Ms. Shelly Jiang will provide an overview of the operational and financial highlights for second quarter 2016 beginning with Slide 4. The company’s Chairman and CEO, Mr. Kevin Ma, will then discuss ATA’s outlook and growth strategy for the remainder of fiscal year 2016, before opening the floor for questions. With that I’ll turn the call over to ATA’s Interim CFO, Ms. Shelly Jiang. Please go ahead Shelly.
Shelly Jiang: Thank you, Carolyne and welcome everyone. To summarize the fiscal second quarter, ATA encountered challenges due to the timing of one of our major exams. But made great strides in delivering new exams as part of the ongoing shift from paper base testing to computer based testing, expanding our investments and seeking to maximize our valuation through a listing on the new Third Board in China. We remain on track to meet all of the financial metrics we previously provided as guidance. Today, I will provide an overview of this operating and financial highlight and then briefly discuss our outlook for fiscal year 2016. I will begin on slide 5, which lists some of our operating highlights. During second quarter 2016, we delivered approximately 1.7 million billable tests, which compares to approximately 3.0 million in the prior year period. The decrease was primarily due to the change in timing of the CPA exam, which took place in the fiscal 2015 second quarter and was delivered by ATA for the fourth consecutive year in October 2015 or third quarter [2015]. We are pleased to report that this year’s exam saw record volumes surpassing last years’ 1.6 million exams delivered across China. We delivered the newly instituted from Fund Practitioners Certification Exam during the quarter. This is a new exam that expands upon our relationship with the Securities Association of China. During the second quarter, we also entered in to a new contract with China Merchants Bank whereby ATA will begin administering its campus recruitment exam. We continue working to secure new business and are coming through fast. It is offering and past [records] will gradually yield positive results in our core testing services business. In September, we also announced a new strategy investment in Brilent Inc., a Silicon Valley based provider of easy-to-use software tool that utilizes advances in machine learning, analytics and data science to revolutionize the way recruiters screen job candidates. Brilent too allows recruiters to string high volume of applicants in minutes. We believe Brilent has created one of the most advanced and effective technologies to adjust the current challenges facing the recruitment market and look forward to working closely with the Brilent team as we deepen our understanding of data analytics and the HR or recruitment process. At the end of September, our wholly owned subsidiary ATA Online submitted its application to the National Equities Exchange and Quotations to list on the New Third Board, and we are currently undergoing that review process which has proceeded smoothly thus far. Moving on to our financial highlights for second quarter 2016 as shown on slide 6, we report net revenues of RMB53.4 million and meet our net revenue guidance range for the period. Our revenues for second quarter 2016 were impacted by the change in timing of the CPA Exam, which took place in second quarter 2015, but took place a quarter later this year in third quarter 2016. As a result of delivering new exams for our government and corporate clients for the quarter, we achieved steady topline growth, which helped to offset a lumpy quarter with the CPA Exam change in timing. Gross margin remained steady at 45.6% for second quarter 2016, compared to 45.4% in the prior fiscal quarter. Following a strong fiscal [fresh start], the company is reiterating its previously announced net revenue and non-GAAP net income guidance for the year 2016, which I will discuss in further detail later on this call. On the next slide, we breakout revenues for second quarter 2016 by our businesses which can be broken down broadly in to two areas; testing services and test preparation and training solutions. Testing services accounted for about 84.5% of our revenues in second quarter 2016. On the next slide we provide a printout of the company’s financial results for the second quarter. Gross profit was RMB24.4 million, US$3.8 million compared to RMB46.5 million in the prior year period. As mentioned before, the increase was primarily a result of the change in timing of the CPA exams. The company reported a net loss of RMB14.1 million or about US$2.2 million compared to net income of RMB8.8 million in the prior year period. Diluted losses per ADS were RMB0.62 or $0.10 in second quarter 2016 compared to diluted earnings per ADS of RMB0.38 in the prior year period. On slide 9, we provide a summary on the company’s financial result for the first half of fiscal year 2016. Gross profit was RMB78.5 million, US$12.4 million compared to RMB94 million in the prior year period. Gross margin for the first half 2016 increased to 32% from 50.3% in first half 2015. Net loss was RMB7.9 million US$1.2 million for the first half 2016 or diluted losses per ADS of RMB0.34, US$0.06 compared to net income of RMB13.4 million in the prior year period. On slide 10, we provide a supplemental chart of quarterly numbers adjusted for the share based compensation expense and foreign currency gain or losses. Excluding these items, adjusted net loss for second quarter 2016 was RMB10.6 million or US$1.7 million compared to adjusted net income of RMB11 million in the prior year period. Diluted losses per ADS during second quarter 2016 on a non-GAAP basis were RMB0.46, US$0.08, compared to the diluted earnings per ADS of RMB0.48 in the prior year period. Adjusted net loss for first half 2016 was RMB0.7 million compared to adjusted net income of RMB19.8 million in the prior year period, and the diluted losses per ADS on a non-GAAP basis was RMB0.04. We continue to be supported by free cash flow and a solid balance sheet, which we’ve highlighted on slide 11. As of September 30, 2015, we had about US$33.9 million in cash and cash equivalents. We have no long term debt or short term borrowings, and continue to follow the straight cost structure that has served us well over the past several years. In September 2015, the company continues a steady tradition of giving back to its shareholders through repurchases in special dividends by [offering] their agreed purchase of up to US$3 million as it issued an outstanding ADS from time to time in open markets and privately negotiate (inaudible) conception. By November 6, 2016 the company had repurchased 114,767 ADS at an average stock price of US$3.43. This share repurchase plan is in effect until March 31, 2016. As shown on slide 12, we expect third quarter to double ’16 net revenues will be in the range of RMB195 million to RMB205 million. We expect second year 2016 net revenues to be between RMB360 million and RMB380 million and non-GAAP net income guidance to be between RMB28 million and RMB38 million. Please keep in mind that the guidance is based on our own internal projection, and we will continue to evaluate our projections on an ongoing basis. With that I’d like to turn it over to our Chairman and CEO, Mr. Kevin Ma to provide some more detail on our growth strategy and the outlook for fiscal year 2016.
Kevin Ma: Thank you Shelly. We continue to improve on our New Third Board listing efforts and are pleased to be in the review process following ATA Online submission of its listing application to the NEEQ. Earlier this calendar year we began exploring our New Third Board listing to accelerate the growth of our core testing business, which is primary conducted with organizations with China, we believe prospective clients will be more willing to engage ATA service if they recognize ATA as the next Chinese company listed on the Chinese exchange. I would like to reiterate that we expect to own a substantial majority of the outstanding equality interest of the testing service business and to continue to consolidate their financial results of the business in to ATA following a potential successful New Third Board listing. Slide 14 lists our overall growth strategies. We aim to continue providing existing clients with a quality service and a support they have to expect from ATA building and expanding upon those relating shifts while working to develop new relationships with the potential clients. The vast majority of exams and assessments continue to be paper based and we remain confident in our ability to capitalize on that opportunity presented by these exams that have yet to transition to a more efficient and a secured technology based platform. As we make progress on our growth strategy, we remain committed to operating on the strict cost structure that has allowed the company to successfully scale its operations and generate a positive cash flow to finance its long term growth. We continue to work on developing our consumer initiatives. Last quarter we announced that Satech, one of our investing company launched its new Cece TOEFL back in July 2015 aiding to its premier product Cece SAT which we launched in late 2014. Cece TOEFL provided online test preparation and training tools for students looking to improve their reading comprehension, listening, oral and writing skills in English as they prepare for the TOEFL, a very popular exam for foreign students thinking of studying at an English speaking university or college. We are pleased that the company mobile application for Cece TOEFL launched in September and it is now available. We believe that potential test takers in China are increasing recognizing ATA as the authority in China’s assessment in market place due to our efforts to engage directly with the consumer as a client of ATA. Over the course of the past 18 months, we have entered a number of new education marks through different partnerships with and strategy investments in innovative education and HR service companies. These opportunities of course lead to financial risks and have greater potential for upside. To conclude, we are pleased to meet our past financial projections and continue working to expand our strategy alliance and investments thinking ways in which we can enhance ATA’s value to our shareholders. With that, Operator lets open it up for questions.
Operator: [Operator Instructions] We have no questions at this time. We have no questions in queue.
Kevin Ma: Thanks again to all of you for joining us. If anyone has questions for us, please feel free to reach out directly to us or our Investor Relations firm, Equity Group. We look forward to speaking with you all again during our third quarter 2016 financial results call. As always, we welcome any visitors to our office in Beijing. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today’s conference. You may now disconnect. Have a great day.